Operator: Good morning, ladies and gentleman, welcome to the BRP Inc.'s Fiscal Year '25 First Quarter Results Conference Call. [Operator Instructions]. And I would now like to turn the meeting over to Mr. Philippe Deschenes. Please go ahead, Mr. Deschenes.
Philippe Deschenes: Thank you, Sylvie. Good morning and welcome to BRP's conference call for the first quarter of fiscal year '25. Joining me this morning are Jose Boisjoli, President and Chief Executive Officer; and Sebastien Martel, Chief Financial Officer. Before we move to the prepared remarks, I would like to remind everyone that certain forward-looking statements will be made during the call and that the actual results could differ from those implied in these statements. The forward-looking information is based on certain assumption and is subject to risk and uncertainties and I invite you to consult BRP's MD&A for a complete list of these. Also, during the call reference will be made to supporting slides and you can find the presentation on our website at brp.com under the Investor Relations Section. So, with that, I'll turn the call over to Jose.
Jose Boisjoli: The first quarter of fiscal 2025 play out essentially in line with our plan. Financial results were as expected and reflect our focus on managing network inventory to support our dealers. From a retail standpoint, our product portfolio performed relatively well despite softer market condition. As the year continues to unfold, our dealers are very cautious with respect to inventory, as uncertain economic condition and high interest rate are impacting them more than anticipated. Moreover, many OEMs are turning to more aggressive promotional activity and dealer profitability is under pressure, as they are selling at low margin to move inventory. On the marine side, the industry has been softer than expected since April, and dealers are taking a limited number of new boats. As you know, we have always been close to our dealers and proactive in taking market conditions. Therefore, in light of the current context, we are adjusting our production to further reduce dealer inventory. This is reflected in our updated guidance. Let's turn to Slide 4 for key financial highlights. Revenue reached $2 billion, normalized EBITDA was $247 million and normalized EPS was $0.95 all as expected and consistent with our planned volume reduction. As for retail, our North American powersports sales were down 5%, in line with the industry, with a solid performance in year round product, offset by softer trends in seasonal product, as you can see on Slide 5. In fact, our year round product retail was up 11%, with solid growth and market share gain across all product lines. Meanwhile, seasonal products were down, reflecting a soft end of season for snowmobile, due to unfavorable winter condition, softer overall industry trend in marine, which also impacted the Sea-Doo switch and a difficult comparable for personal watercraft, as Q1 last year was unusually strong. Sales, while the industry was down mid-teen percent versus last year, it was up about 10% versus pre-COVID. In summary, despite more challenging market conditions, we continue outpacing the industry across most product lines. Turning to Slide 6 for an update on the global powersports market. First, looking at geographical region. Canada remained relatively strong with retail up 18% in the quarter, excluding snowmobile. The US, however, is softer with retail down 4%, also excluding snowmobile. Latin America is continuing to show strength with retail up 11%. EMEA and Asia Pacific are still seeing softer demand with retail down 13% and 2%, respectively. From a consumer preference standpoint, we continue to see more traction globally for premium vehicles. In the off-road category, trends are more positive in the utility segment compared to recreational products. One element that has evolved during the quarter is that many OEMs have been more aggressive with promotion and pricing. We expect this trend to continue throughout the year. As I said earlier, our focus is on managing network inventory. In March, our objective was to reduce powersports shipments by 10% to 15% by the end of the year. Now, with consumer remaining cautious, a more competitive landscape and the high cost of carrying inventory, dealer profitability is under pressure. Our revised plans call for 15% to 20% reduction. And to accelerate depletion, we will limit Q2 shipment. In parallel for marine, we are also further reducing production until the end of the year. In addition, we are increasing promotional support for powersports and marine to accelerate inventory turns. Bottom line, we will support our dealers through this more challenging environment. This is a priority. Now let's turn to Slide 8 for a more detailed look at year round products. Revenues were down 13% to $1.2 billion primarily due to reduced shipment. At retail, Can-Am side by side had its strongest Q1 ever. Retail was up low-teen percent primarily driven by solid growth in the utility category and in premium model notably the Defender CAT. We are pleased with the sustained momentum of our side by side lineup, as our numbers of units retailed during the first quarter has nearly doubled compared to pre-COVID level. ATV also had a solid quarter, reaching its highest quarterly market share ever, with retail up high single-digit percentage. This performance was driven by the continued success of our new Outlander platform, which delivered market share gains in the mid-cc segment. Looking at 3-Wheeled Vehicle, Can-Am is off to a good season start, with retail up low-single-digit. These strong results are driven by the positive consumer reaction to the recent upgrade we made to our Spyder F3 and RT lineup. Turning to seasonal products on Slide 9. Revenues were down 23% from last year to $535 million primarily reflecting reduced shipment. Looking at our retail performance. In snowmobile, we've closed the North American season on March 31st with retail down high-single-digit, once again outpacing the industry and further increasing our record high market share. Also ended the season with the number one position in each segment in which we compete. In Scandinavia, the season had a late start, resulting in retail down low-teen percent. But we maintain our industry leading position with market share over 70%. This performance demonstrates the strength of our Ski-Doo and Linx brands. Now looking at the upcoming season, we just completed our spring booking. While volume came in broadly in line with expectation, the mix is not as rich as anticipated. Looking at Ski-Doo product, retail was down as we were facing a difficult comparable due to late shipment last year. However, from an historical perspective, retail is performing well with Sea-Doo up about 18% from a typical pre-COVID first quarter. As for the Sea-Doo switch, it also faced the same dynamic as personal watercraft, with late shipment in Q1 of last year, leading to a decrease in retail this year. Given software trends in the marine industry, increased promotional activity and high level of dealer inventory, we are also taking a more cautious stance with our Sea-Doo switch business. As such, we have decided to reduce our shipment for the balance of the year. However, we remain confident in the long-term prospect for this business, especially with new product in the pipeline for the coming years. Moving to Slide 10, with powersport parts, accessories and apparel and OEM Engine. Revenue were up 1% to $289 million driven by higher volume and favorable pricing, offset by higher sales program. From a product standpoint, our parts and accessory business for off-road continued to increase, driven by the growing fleet of vehicle in use and the positive retail momentum. However, unfavorable winter conditions negatively impacted sales of parts and accessories for snow related product. Moving to marine. Revenue were down 58% to $50 million driven by the overall volume of boat shipments. Looking at retail sales, Alumacraft retail was up in the low 20%, while Manitou retail was about flat. Our retail increase in North America was the result of good presales at boat shows. As for Quintrex, retail was down low teen percent, in line with the industry trend. Although the marine industry has been challenging in recent quarter, this business is for us a long-term growth play. With that, I turn the call over to Sebastien.
Sebastien Martel: Thank you, Jose, and good morning, everyone. Our first quarter results came in essentially in line with our expectations. Looking at the numbers, revenues were down 16% to $2 billion primarily due to lower shipments and higher sales program. We generated $480 million of gross profit representing a margin of 23.6% down 210 basis points from last year. This decline was primarily due to lower shipment volumes and higher sales program, partly offset by a richer mix of products, favorable pricing and cost efficiencies. Note that an important margin headwind was related to our marine business as we significantly reduce shipments and introduce new promotions during the quarter. Meanwhile, our powersport gross profit margin remained strong at 26. 2%. Continuing down the P&L, our normalized EBITDA ended at $247 million and our normalized earnings per share at $0.95 dollars. Free cash flow came in stronger than anticipated at $66 million driven by our tight management of CapEx and working capital. From a usage perspective, we continue to actively return capital to shareholders with a 17% increase in the quarterly dividend and through $47 million of share repurchases. Now for an update of our network inventory. Our dealers inventory ended the first quarter up 23% from last year. This increase was in line with our expectations as we faced a difficult comparison with last year's overall linear inventory levels. And we ended the snow season with more inventory due to the unfavorable winter we just experienced. Note that snowmobile accounted for 43% of the year-over-year increase. From Q4, we began making progress in rightsizing and improving the quality of our off-road inventory which was down 6% sequentially, including more important reductions in non-current models and in categories that are experienced softer retail trends. As for other product lines, the inventory evolved from Q4 levels following the traditional seasonal pattern with declines at the end of the season for snowmobile and a build up ahead of the core retail period for personal watercraft, switch pontoon and 3-Wheel. Despite operating with better inventory turns versus pre-COVID, as Jose mentioned, the uncertain macroeconomic environment, higher interest rates and increased competitive dynamics are putting pressure on dealer margins, making them more cautious about taking on more products. To support them we decided to further reduce our network inventory compared to our initial guidance. Accordingly, we plan on limiting shipments in Q2 to accelerate the depletion process, which will continue throughout H2. Our objective is to gradually improve our overall inventory levels to reach a year-over-year reduction of 15% to 20% by the end of fiscal 2025. While these actions are expected to impact our financial results, we strongly believe that supporting our dealers and this challenging operating environment for them is essential to ensure our long-term mutual success. With this in mind, let's turn to Slide 14 for an update of the guidance. We have adjusted our guidance to reflect the impact of the initiatives we have put in place to further support our dealers in the form of lower shipment and increased promotional support. The result of our spring booking for snowmobile and the ongoing softer trends in marine. Accordingly, we now expect revenues to end between $8.6 billion and $8.9 billion with greater adjustment made to seasonal products in marine. Considering the decrease in our top line along with the benefit of additional efficiencies and cost reduction efforts, we now anticipate our normalized diluted EPS to end between $6 and $7. As you can appreciate these expected results do not represent the true earnings power of the business as the one-time 15% to 20% expected reduction in inventory is impacting our revenues unfavorably by $575 million to $775 million this year. From a cash perspective, we further optimized our CapEx plan by $25 million. This saving combined with expected working capital improvements and lower tax outflows still positions us to deliver approximately $750 million of free cash flow for the year. As such, we expect to have the financial flexibility to continue providing a strong return of capital to shareholders. Before turning the call over to Jose, I would like to provide further color on the adjustments we made to the guidance by taking a look at Slide 15. As you can see from the chart, about $1. 65 of the adjustment in the guidance is coming from powersports, notably driven by the additional measures we are taking to support our dealers in this challenging environment for them. As for marine, we expect additional impact of about $0.50 versus last guidance. As a result, marine is expected to represent a drag of more than $1.50 on our earnings for the year. To offset these, we have put in place additional efficiencies and cost reduction measures that are expected to generate an incremental $0.75 benefit for the year. Looking ahead, as previously mentioned, our plan is to further limit shipments in Q2 in order to accelerate the network inventory depletion process for our dealers. Consequently, we expect revenues for the second quarter to be down high-single-digit and normalized EBITDA to be down about mid-20% from Q1 level. Our results are then expected to improve in H2 with a return to growth over last year in Q4. Once again fiscal 2025 is expected to be a transition year from a financial standpoint as we focus on supporting our dealers. Still with our strong business fundamentals and continued focus on efficiency and innovation, we are well positioned to sustain our long-term success. And on that, I'll turn the call over to Jose.
Jose Boisjoli: Thank you, Sebastien. Over the short term, we are focused on protecting our dealer value proposition by managing network inventory and proactively adjusting our shipment. Looking beyond this correction year, we remain confident in our long-term strategy. Our agility is a significant advantage and we have proven many times over that we are geared up to respond to evolving market conditions and continue to outperform the industry. We are managing the business to ensure continuing success, and we are committed to investing in the development of market shaping product in true BRP fashion, who will keep on innovating to strengthen our leadership position in the powersports industry. On that note, we look forward to hosting our dealer event in August, and you are invited to join us in Anaheim, California. As usual, we will introduce new technologies and product to bolster our lineups. We are also on plan to launch our promising new Can-Am electric motorcycle, which will allow us to enter a new industry. I thank all our employees for their hard work and dedication. Their capacity to adapt to changing market dynamic enable us to continue to succeed in a challenging context. I also acknowledge our dealers for supporting our lineup and for their confidence in our ability to provide them with a superior value proposition. On that note, I turn the call over to the operator for questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Craig Kennison at Baird. Please go ahead.
Craig Kennison: Hey, good morning. Thanks for taking my question. You talked about inventory. I'm wondering if you could share with us the percentage of your powersports inventory that is non-current?
Jose Boisjoli: Good morning, Craig. Obviously the non-current inventory is a subject that we've heard quite a bit about and we're actually when I look at the overall retail numbers for the first quarter, about 65% of the total retail that we did was current inventory. So we're actually in a very good position from an inventory point of view and that's pretty much in line with the industry as well where they were trending in that percentage as well. The inventory that we have is, let's say, non-current model year 2023 less than 1% of the total inventory that we have is model year 2023 and over. So what we have left is model year 2024 and that is relatively clean and the rest is current inventory. And as I mentioned for Q1, 65% of our retail was current inventory. So that's an indication of how healthy it is.
Craig Kennison: Thanks. I'll get back in the queue.
Operator: Thank you. Next question will be from James Hardiman at Citi. Please go ahead.
James Hardiman: Hey, good morning. Thanks for taking my call. So on the last call, I thought it was really helpful sort of your view as we look through some of the noise. I think you said something along the lines of it felt like from an underlying earning power perspective, more of an $11.50 type year in terms of earnings. Once we add back some of those, if you want to call them one time-ish cost. I guess, a couple of months later, the guidance is down another $1. 25. I guess maybe if you could take us through a similar exercise. Does this still feel like an $11.50 type year, once we sort of get past some of these one timers costs?
Jose Boisjoli: Yes, good morning. First, I will just give you high level what have changed since March. And I would like to put things in perspective to start with. The inventory in unit is up 36% pre-COVID, but our retail is up 50% versus pre-COVID then our turn of inventory is better than pre-COVID. And we're fully aware that the increased value of the unit have changed. There is new product line that switch size of the product has got bigger. And obviously, the cost of carrying an inventory is putting pressure on dealer to move product and retail and deal retail at low margin. What has changed since last guidance is the high level of snowmobile that is confirmed, the softer trend in marine and the US market that is softer for the first time in a while. Then if you combine all this to the macroeconomic context, the competitive landscape and the high interest rate, all this is a lot at the same time. And we were aware of those elements and it's no surprise to us. But to be honest, we have not anticipated how dealer react to the accumulation of those factors. And this is why we decided to reduce inventory by an additional 5%, now up to 15% to 20% by the end of the year. We will also limit shipment of seasonal product outside of the core retail season. And we are investing in more promotions support to move inventory faster. Then all of this is obviously impacting the financial performance. And you can be sure that we don't like having to reduce our guidance just one quarter into the year. But again we believe it's essential that we protect our value proposition with the dealer and it's the right thing to do for the long-term success of the business.
Sebastien Martel: Yes, and if I give you a bit of color to this year and it is in fact a transition year and we do have few headwinds that you mentioned that will turn into positives in the near future. And I would bucket them into three categories. Obviously, the first one is the impact of the snow season where we're reducing deliveries and being more promotional this year. The other element is the marine business, which I highlighted this morning. It's a drag on earnings of $1.50 and obviously that's unacceptable and we're obviously going to work to fix that. And the other element is the one-time element of reducing inventory. Inventory turns are better than pre-COVID. Usually, they gave you some color on the retail versus the inventory. So the inventory is a healthy situation because of the higher interest rates obviously. Dealers are more cautious on taking on inventory, but that 15% to 20% inventory reduction is a drag to revenue as I mentioned of $575 million to $775 million. So when I package all of these three elements together, there are like a $3 to $4 of EPS that will come back to our earnings post fiscal year 2025, yes. Does it all happen next year? Obviously, we're going to certainly work to make sure that we crystallize that as quickly as possible. But obviously these one-time headwinds are certainly impacting our financials this year and on a normalized basis, the earnings potential of BRP is much higher than what we're presenting as a guidance this morning.
James Hardiman: Got it. That's really helpful. And then maybe as a follow-up, I mean you noted a couple of times about limiting inventory carrying costs and wanting to protect dealer profitability. And I think implied there is that it's at the expense of your own profitability in a lot of cases. So this sounds like somewhat of a sort of a goodwill play, right, that that dealers will appreciate the support that you're giving them. I guess maybe speak to what you're seeing in the broader industry and if there's broader sort of industry support to protect the dealers. And ultimately, did you get that back, right? Does that goodwill, as we look forward benefit you in some tangible way or some financial benefit? Thanks.
Jose Boisjoli: Maybe just to add, over the years, we are the OEM who invest the most in R&D and in CapEx. And we're pushing to gain market share in all the product categories and we proved that over the last few years. And we always say to our dealers, you can expect from us that we'll push for market share, because we are investing more than the competition and we deserve with the product innovation and the investment we deserve to gain market share. But you can count on us that if there is a hiccup, we will support you. And this has been our speech for the last 20 years with the dealers. And here we are in a situation where we are after the COVID bubble and we want to make sure that we support our dealers and we are sure that it's the right thing to do for the long-term of the business.
James Hardiman: Got it. That's helpful. Thanks guys.
Jose Boisjoli: Thank you.
Operator: Next question will be from Jonathan Goldman at Scotiabank. Please go ahead.
Jonathan Goldman: Good morning and thanks for taking my questions. Maybe to start off, Jose, I mean, you did discuss this in your prepared remarks, but could you discuss specifically how the competitive environment has changed in Q4? And relatedly, what gives you confidence that the additional actions you've taken to right size production will be sufficient and that competitive intensity won't accelerate through the year?
Jose Boisjoli: Yes. First, like we said, there is more promotional activity. And also some OEM have reduced their pricing on the new model. And this is putting pressure. And some OEMs are still pushing the dealer to take more. Then you can say, is this will play in your favor or not? But I would like to remind you the dynamic for multiline dealers. Then, we're convinced that reducing inventory will increase inventory turnover and reduce the floor plan cost. And for a multi-line dealer, they have a credit line for each OEM. It's not one credit line for all the OEM. Each OEM brings its financial partners. And by reducing our inventory does not mean that the other will fill the credit line. Then the other thing that is different versus other OEMs, we are more than an ORV business. We are the leader with high market share in watercraft and snow. And we will make sure that we're reducing shipment that will help the dealer and will ship closer to the retail peak of those big product lines for us. Then, overall, and you could see some market share plays from month to month, depending on the action of the other OEM and the sales program and the dynamic in the industry. But for this year, we're still planning to gain share in ORV and maintain our leadership position in watercraft and snow. And again, we're convinced it's the right thing to do.
Jonathan Goldman: I appreciate those comments. That's very helpful. And I guess a follow-up then is, do you have any visibility or do you have a sense of how much excess inventory is in the industry generally related to current demand levels?
Jose Boisjoli: Well, as I've mentioned, I mean our inventory levels are healthy, our turns are better than pre-COVID. I don't think it's a question of having way too much inventory. It's much more a question of the higher interest rates, the current macro environment, the marine business that is softer and that's making dealers more hesitant on taking more inventory for the fear of having that huge floor plan interest expense that they have to pay. And again the floor plan cost for dealers is in the probably in the 13% to 14% range and so it is quite expensive. And in a context where dealers are more cautious on inventory means they're more discounting hence making less profit and when you add that floor plan cost it obviously puts more pressure on their profitability. So it's not a question of having too much inventory, it's more a question of dealers being more cautious given the current context. And again, us as OEMs, we have that ability of reducing our deliveries in order to give them a bit more breathing room.
Jonathan Goldman: That's great color. Thank you very much. I'll get back in queue.
Operator: Thank you. Next question will be from Joe Altobello at Raymond James. Please go ahead.
Joseph Altobello: Thanks. Hey, guys. Good morning. I guess, first question sort of broadly, has your North America powersports industry retail outlook changed at all? I think last quarter, you were talking about an industry down low-single-digits.
Jose Boisjoli: We've done a few tweaks to the outlook, especially on the seasonal side and that's where we've adjusted the guidance more for seasonal on Sea-Doo switch and on the Sea-Doo watercraft. But overall, pretty much in line with what we had versus last guidance. And one good indication of this is that we've maintained our P&A guidance equal to what it was previously, because retail is a big driver of the P&A business. So overall, no big changes other than the seasonal business.
Joseph Altobello: Okay. And just a follow-up on that, the increased promotional activity and support that you cited in powersports, is that across the board or is it concentrated in particular product categories? And how does that compare maybe with the competition? Are you guys generally more or less promotional than other players?
Jose Boisjoli: It varies by product category. Obviously, for snowmobile, everyone has been more promotional because everyone ended with more inventory. We are in a relatively good position when you look at our market share versus the inventory that's remaining. What we've seen as well is that OEM has introduced new models with price reduction. And so that's a new phenomenon that we're seeing. But overall, yes, the industry is more promotional. Dealers are more promotional as well and OEMs are more promotional because they see that dealers are hesitant to take on inventory and therefore offer a higher wholesale incentives or even retail incentives as well.
Joseph Altobello: I guess just in terms of off-road vehicles, are you seeing in that space as well?
Jose Boisjoli: The promotional, yes, it's in that space as well for ORV. And marine, I would say, the pure traditional marine business is significantly more promotional than the powersport industry.
Joseph Altobello: Okay. Thank you. Thank you. Next question will be from Cameron Doerksen at National Bank Financial. Please go ahead.
Cameron Doerksen: Yes, thanks very much. Good morning. Just want to ask about marine. I mean, obviously, it's difficult to predict when that market will start to rebound. But just wondering what actions you can take if we don't get a return to more healthy market conditions? I mean, obviously, you mentioned the $1.50 drag on EPS, but is there something you can do to try to make that business more profitable even if we don't get a significant rebound in underlying demand?
Jose Boisjoli: Good morning. Obviously, it's not the start that we were planning and when we were up and running. We were ready and up to run. The industry softened more promotional activity and this season dealers are very hesitant to take inventory. And it's a difficult environment and obviously nobody could plan that. What I would say is, right now what we have done, we have reduced to a minimum our production between now and the end of the year for both Alumacraft, Manitou and Switch. In Australia, Quintrex is in line with the industry and the reduction is lighter. But basically we reduced production to a minimum and now we're working to deplete the inventory of the dealer. Then you can expect minimum production of model year 2025 and we will restart in 2026 with more normal volume. Then this is a transition year. We need to go through that bubble of inventory. Early in the year, we were thinking that it would be a one year correction. It might take to the industry, not us, a bit more than one year, maybe 18 months to correct this bubble of inventory. Obviously every business in our portfolio needs to contribute. And marine is no different. And we believe we have the right strategy. We just need to go through this industry normalization or the inventory normalization.
Cameron Doerksen: Okay. That's helpful. And obviously, if you've reduced your workforce, I think, for some of the marine segments, but is this going to represent a challenge when you do restart production? I mean, obviously, there's a fair bit of, I guess, skilled labor required and fuel, I think, production efficiencies have been somewhat of a challenge as it is. Just wondering how you sort of manage that re ramp once it does come?
Jose Boisjoli: No, you're totally right. There is a lot in those factory know-how and we did make sure that we keep the right level of people to be able to ramp up when things get better.
Cameron Doerksen: Okay. That's great. I'll pass the line. Thanks very much.
Jose Boisjoli: Thank you.
Operator: Next question will be from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Thanks. Good morning. Mostly just wanted to follow-up on a couple of the topics you hit on. I guess, just specifically, the guided decline for Q2 would imply that the second half EBITDA will actually be modestly higher than what you had previously guided to. I think just hoping you can help square that up. Is that mostly sort of unchanged revenue and gross margin, but just lower costs and that's tied to the cost reductions you've put in place or can you just clarify that please?
Sebastien Martel: Yes, it's a combination of elements. We're taking a harder adjustment on the volume deliveries in the second quarter. Some of these units will be delivered in the third quarter. But in order to give immediate relief to the dealers from an inventory point of view, that's why we decided to reduce shipments significantly. So we'll be shipping some of the snowmobiles that were initially planned in the second quarter, in the third quarter, closer to retail season as well. And also, yes, obviously as you saw in the bridge, we're driving higher cost efficiencies which are going to payoff in the second half of the year, helping the overall EBITDA and EBITDA margin as well.
Mark Petrie: Yes, okay. And could you just elaborate on the actions you took with regards to the cost structure and that $0.75? I mean, you alluded to that being mostly in marine, but any color would be helpful. And do you think of those as permanent cost reductions and efficiencies or mostly temporary?
Sebastien Martel: Some of it are permanent, some of it are temporary. I'd say the reductions we've had probably split half is variable compensation given the lower profitability. And the other half is efficiency. Obviously, over the last four, five years, our business has grown significantly and the operations team have been hyper focused on adding capacity and producing units in challenging COVID times and sometimes we were producing these units at any cost. Now obviously with reduced volumes, the teams are able to rethink the way they operate, reassess efficiencies in the plant. And we're actually getting a lot of savings coming from a greater focus from our teams on driving lean practices in our business, which as you see is helping compensate some of the headwinds we have this year.
Mark Petrie: Okay. So it's fair to say that, sorry, go ahead.
Sebastien Martel: That would be permanent, Mark. Yes.
Mark Petrie: Yes, understood. But I guess just to clarify, so that half of the $0.75 which you're calling efficiency, most of that would actually be outside of marine, it sounds like?
Sebastien Martel: Yes. Yes.
Mark Petrie: Okay. All right. Thanks for that. Take care. All the best.
Sebastien Martel: Thank you.
Operator: Thank you. Next question will be from Fred Wightman at Wolfe Research. Please go ahead.
Fred Wightman: Hey, guys. Good morning. I just wanted to come back to the promotional outlook and you did talk about some incremental promos in powersports and Marine. And I think in the past you talked about still being a little bit below pre-COVID level. So can you sort of level set where that current expectation would put you? Are you going to be higher than sort of normal pre-COVID levels for this year?
Jose Boisjoli: Yes, currently the -- when I look at the forecast there were pretty much in line. I'm looking at the powersport business, we're in line with where we were pre-COVID. That is in a context where interest rates are higher and any retail financing promotions are more expensive as well. So from a percentage of revenue basis, we're pretty much in line with where we were pre-COVID.
Fred Wightman: Okay, that makes sense. And when you take a step back and you talked about interest rate headwinds, retails been mixed across different categories like what gets dealers comfortable ordering again? Do you need to see a pickup in retail? Is it really just a matter of a couple of rate cuts lowering these floor plan rates? What is sort of the big catalyst that gets people comfortable going forward?
Jose Boisjoli: Well, certainly, I mean financing is probably let's say 500 basis points higher for them versus pre-COVID. So it's obviously a big dent in their profitability. And so if we were to see rate cuts happening, who knows when that would certainly provide more comfort for the dealers and their appetite to take on more inventory. Certainly that's something that is going to help.
Fred Wightman: Okay. Thanks a lot.
Operator: Thank you. Next question will be from Benoit Poirier at Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Good morning, everyone. Just looking back at Marine, obviously, you provide great color about the weather, the promotional activity. We know there has been sizable investment with the Stealth technology. So any more color? What -- how would you qualify the market acceptance of your new stealth technology and any change in the strategy for marine going forward? I'm just trying to know how committed are you to the segment given the contribution right now?
Jose Boisjoli: Good morning, Benoit. So far and again the product have not been there long, but so far what we call the MAX Deck. The MAX Deck is always the platform extension in the back of the boat. You're gaining four feet or six feet depending if a single or dual engine. This is a big value for the consumers. And this is only feasible if you have the Rotax stealth engine package. And so far, we have Manitou is available with MAX Deck. Alumacraft is coming with their model right now. And this is basically what we were betting for when we developed this new technology. And this is so far well received by the consumers. Obviously, like I said in my remarks, the timing to introduce those new modes with that feature is not ideal. But we need to first deplete inventory and be patient with the strategy.
Benoit Poirier: Okay. And with respect to PwC, it seems that you're looking market share when you look at your trends versus the industry. It looks like Canada right now is much stronger than the US with respect to PwC and ATV. So I'm just wondering the discrepancy between two country, whether it's more weather related or the competitive landscape. Is it more aggressive right now in US versus Canada? What explain basically the discrepancy between both countries?
Jose Boisjoli: First, our market share in Canada is very high. It's over 75%. And Canada has always been a good market for watercraft. I would say it's a bit too early, Benoit, to conclude anything. The big retail season for watercraft is May, June, July. And the watercraft customer is impulse buy. It's relatively low priced product and it can go very fast up or down depending of the weather, obviously, depending of the overall situation. Then I think we have good momentum in Canada, softer in US. But I think it's too early to call if it will be a good season or a very good season or not so good season. I think it's too early. But so far, Canada is doing well, a bit lag in US. We'll see how things evolve.
Benoit Poirier: Thank you very much.
Operator: Thank you. Next question will be from Robin Farley of UBS. Please go ahead.
Robin Farley: Actually, I had a similar question on the marine outlook. Just given you've had in ORV and snow, great market share and great share growth and marine maybe doesn't have that sort of position to recover back to even when the market gets better. So I wonder if you could kind of give us a thought on it. It seems like it would actually be fairly additive to earnings if you exited the marine business. I'm just wondering how you see that longer term? Thank you.
Sebastien Martel: Well, just a comment, Robin. With the high market share we have in watercraft and snowmobile and we are getting in off-road many and us we need to continue to plan for to grow the business. And if you remember the addressable market, we have a third of the powersports industry. And we need to plan mid to long-term where we will continue to grow because we will continue to grow in powersports, but we need to plan what's next. And marine obviously, it's the same scale that we have on powersport and it's a big market. And we believe we can be successful there. Again, like I said, the timing of our production could not be worse and we didn't execute perfectly either. But this is a long-term play. We just need to go to the bubble and this is a long-term play. And we will next year reduce our expenses in that product category.
Robin Farley: Okay. Thank you.
Operator: Thank you. Next question will be from Tristan Thomas-Martin at BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Good morning. How has May trended at retail?
Sebastien Martel: I would say, first, we don't have industry data yet. But so far May is a bit softer than what we were initially anticipating. We just been through the memorial weekend in the US. We don't have all the registration yet in our system, but the feedback we have from the dealer is a bit softer than what we thought. But again like I just explained memorial weekend is the start of the season in US for all the marine product. And it's a bit too early to say how it will go. So far BRP off-road is performing good. Watercraft switch is a bit lower than what we were planning. And obviously, the marine product is lower than what we were planning. Then this is basically where we are. But again I would be careful because we are very early into the marine season.
Tristan Thomas-Martin: Okay. Let me just kind of sneak in one more question. You alluded to one of your competitors cutting pricing a couple of times, is that something you would consider?
Sebastien Martel: Of reducing pricing?
Tristan Thomas-Martin: Yes.
Sebastien Martel: Well, obviously when you look at the whole lifecycle of our product, if we're able to drive cost efficiencies in our product, obviously pricing is something that we would consider. But the pricing adjustments we've made over time to increase pricing was in line with the inflation that we saw. One thing that we're mindful about is people who brought a product six months ago or 12 months ago, if you come out with a new model year and you're discounting the new model year, obviously it reduces the whole value proposition for that consumer. And so obviously our focus is let's bring innovative product, let's bring great products to the market, let's make sure we reprice that PVA for the customer. And then in the end, consumers see the value that you're bringing that they're willing to pay for the innovation, the novelty. And in situations where markets are more tougher, we prefer to use retail incentives in order to drive consumers to the dealer and stimulate sales. So it's a complex balance, Tristan, and all that.
Tristan Thomas-Martin: Got it. Thank you.
Operator: Thank you. Next question will be from Martin Landry at Stifel. Please go ahead.
Martin Landry: Hi. Good morning. I may have missed it, but did you change your assumption for your retail sales in North America this year and for industry retail sales as well. And I was wondering if you can just update us on these assumptions?
Sebastien Martel: Yes, we had the questions a bit earlier, Martin, maybe you missed it. But we did a few tweaks on the seasonal business and that's why we adjusted the guidance. That's where we've made some adjustments internally, but nothing more significant on the ORV side.
Martin Landry: Okay. And I heard in your opening remarks, Sebastien, you talked about powersport gross margins being around 26.2%, despite sales being down in the high teens. Can you just it looks like it's pretty solid despite sales decline. Can you just talk a little bit about what's like how are you able to sustain your gross margin despite the lower sales?
Sebastien Martel: Well, it's been part of our long-term strategy of obviously leveraging our growth through our Mexican footprint, driving innovation to the consumers and also in sourcing some technology. We've talked about turbocharging, we've talked about modularity with our engines, with our platform. I think when you take the sum of all of that and also the focus of the teams on efficiency, when you take the sum of all of that even though we have lower volumes, even though we've put more programs in the quarter, we're still able to drive very healthy gross margins for the powersports business. And so the long-term strategy we've had as you can see today is paying off.
Martin Landry: Okay. Thank you.
Jose Boisjoli: Thank you.
Operator: Next question will be from Brian Morrison at TD Cowen. Please go ahead.
Brian Morrison: Good morning. Seb, I know you made tweaks to your assumptions. What are your assumptions within your guidance with respect to retail sales volumes and your net pricing? And is the message that your destocking will be complete by the end of Q3?
Sebastien Martel: Well, the destocking is going to happen throughout the year because snowmobile destocking is going to be a Q4 element. ORV dealers are going to feel it right away in the second quarter. And so it's going to be progressive, but a big part of it will happen in the second quarter. Inventory could probably be down versus Q1 and the second quarter, it's probably down 15%. In terms of pricing, obviously, we're going to club, as Jose mentioned, in a few months and we'll obviously be introducing new products, and new model year and we'll revisit our assumptions then. You'll appreciate that for competitive reasons. We won't necessarily disclose what our plan is. But as I mentioned earlier, we want to make sure that we price the value that we bring to our consumers and also we prefer using incentives as a way to stimulate retail sales when things are tougher.
Jose Boisjoli: Maybe to add on this on the pricing from your question, but the previous question. This is a very it's a science. We always measure the technology we have in our product versus the competition, all the feature and how much the customer is ready to pay for that feature and that feature. Then that don't mean because another OEM reduced pricing that automatically we will follow. It depends on how product is competitive and what are the value of our feature and our technology and our product versus others. Then don't take for granted that because another one do it, we will follow automatically. We're doing our homework right now and we're preparing for the model year '25 launch at Club in California.
Brian Morrison: Okay. Sorry, just to clarify, I appreciate that color. To clarify, in terms of your retail sales volumes, do you expect them to be flat to down? And then just to follow-up, Seb, within this base level of earnings that everyone likes to focus upon, what is your normalized EBITDA margin within those $10 or $11 whatever you want to call it?
Sebastien Martel: Well, on the in terms of retail obviously to give you a global number probably doesn't give you the full appreciation of what we're driving, but the expectation is that for ORV retail will be up in the low-single-digit. And for seasonal products business, we expect retail to be down, softer obviously personal watercraft market, we had a very strong retail last year, switch as well expected to be down because of the marine business. And snowmobile, obviously with the softer snow we had this year, it impacted obviously our retail expectations and so we're expecting our seasonal business to be down probably in the high-single-digit.
Brian Morrison: And sorry just the EBITDA margin that you factor into your base level of earnings?
Sebastien Martel: Well, we've communicated the expectation that EBITDA should come back to 17% for us with the size of the business we have, with the investments we've made in modularity and technology. We certainly believe that a 17% EBITDA margin is something that should be achieved even when you look at the implied guidance for the second half of the year, we'll actually be fringing close to that 17% EBITDA margin in a year where we're cutting deliveries. So it's certainly something that we believe is achievable.
Brian Morrison: Very good. Thank you very much and good luck.
Operator: Next question will be from Xian Siew at BNP Paribas. Please go ahead.
Xian Siew: Hi, guys. Thanks for the question. I think in the previous guidance, net price was supposed to be a $0.50 benefit and now I guess $0.75 headwind. So maybe putting that together $0.25 year-on-year headwind. I guess is that how do you what gives you confidence that this is enough like just like a $0.25 headwind? And is this kind of the new normal on promos or do you think promos get better next year?
Sebastien Martel: Well, certainly when I look at the promos, one of the big costs of the promos is the high interest rates and so it's costing us more money. And so if rates were to come down and hopefully they do in the near future, obviously, that's going to reduce the cost to us for these promotions and less of a headwind from a margin point of view. And again based on what we have in our forecast, what we see today, we believe the pricing assumptions and the program assumptions we have are sufficient. We've taken important provisions for the marine business at the end of Q1 and also planning for some programs in the second quarter. So I again with the guidance we have, I'm comfortable that we have enough money to go through what we see today in terms of overall demand.
Xian Siew: Okay. It's very helpful. And then maybe just can you elaborate a bit more on the gross margin assumptions between marine and powersports? I mean, it sounds like marine is still negative, but I mean to your point, the 26% powersports gross margin, is that like how do we think about the rest of the year relative to that?
Sebastien Martel: Well, the margin was obviously impacted in the quarter from higher promotions, but again margin in the back half of the year are planned to be a bit higher than what we delivered in the first quarter. Usually the second half of the year we see better margins as well historically. From the mix of the products that we ship, we usually ship obviously new model year, snowmobile, premium models for side by side at the start of the season and that tends to drive higher margins in the back half of the year.
Xian Siew: Okay, very helpful. Thank you.
Operator: Thank you. Next question will be from Luke Hannan at Canaccord Genuity. Please go ahead.
Luke Hannan: Thanks and good morning. Jose, on the last call, I know you gave good color on how the snowmobile industry has sort of bounced back from periods where units industry units were sort of lower than expectations. I'm curious when we think about the marine business, I think I heard you correctly and that it probably is going to take about 12 to 18 months for inventory to normalize there. How does that compare to maybe past periods where retail was a little bit softer and dealers had excess inventory to work off?
Jose Boisjoli: I think the two industry are quite different. In the snowmobile, you have only a few OEMs and we are the market leader. And the snowmobiler is very, I would say, enthusiast about the sport. And what is happening on snowmobile is, like this year, there will be quite a lot in the next season, but there will be quite a lot of model year 2024 with discount and the model year '25 reduced numbers. And this is why the snowmobile industry typically is quite resilient after a bad snow season. On marine, the big difference is a lot of smaller OEMs were supplying the industry. And there is a lot of different behavior between the OEM. And this is why it's a bit more difficult to predict, but it will take probably more time like I was saying. We were planning that it would be corrected in 2025. Now we say maybe it will take two seasons to correct the industry bubble, the inventory bubble that is out there. But the dynamic is a bit different because of the number of OEMs that have different behavior.
Sebastien Martel: And when we say two seasons, we maybe do 75% in this season and then 25% in the next.
Luke Hannan: Okay, appreciate that. Thanks. And then a very quick follow-up. Seb, I think I heard you correctly, it's still expecting 750 million of free cash flow. What do you have baked into your assumptions as far as working capital goes?
Sebastien Martel: Well, we do expect a slight tailwind from working capital. As we've shared in the past, we were still running with high raw material inventory, post-COVID and supply chain challenges. So, we kept higher safety stocks, but now we're progressively reducing these. And so I'm expecting probably a tailwind of about 100 million from working capital this year.
Luke Hannan: Thanks.
Operator: Thank you. Next question will be from Jamie Katz at Morningstar. Please go ahead.
Jaime Katz: Thanks for squeezing me in. I just have one question on CapEx. It looks like you guys have taken CapEx down just a touch this year, but are we thinking about maybe moderating any of the bigger projects over the next year or two, given that the environment looks like it might remain soft a little bit longer than previously expected? Thanks.
Sebastien Martel: Yes, we're actually selective in how we deploy the CapEx. And as we've shared in the past, we're comfortable with the capacity we have today. So we don't see us needing to add more capacity in the mid-short term. And so we're good there and but obviously we'll continue investing in technology and so that's CapEx investments for new products, you'll see that. But again, this year, I think we're at the right level with where the business is and we'll make sure that we continue driving returns and drive good free cash flow as well for the business by being selective in our investment decision.
Jaime Katz: So does that imply that maybe next year it will be around the same spend level or perhaps just slightly higher as things resume rather than picking up again?
Sebastien Martel: Yes, it could be slightly higher. That's certainly something that's possible. Not to the levels we were in the last few years, but a bit higher than this year is a possibility. Could you add 50 million, 75 million? Yes, we could.
Jaime Katz: Excellent. Thank you.
Operator: Thank you. Next question will be from Brandon Rolle at D.A. Davidson. Please go ahead.
Brandon Rolle: Good morning. Thank you for squeezing me in here. Just a couple of quick questions. First, just on off-road vehicle. Given what's going on with some of the other OEMs being aggressive with their shipping approach, do you feel as though there could be a market share headwind in the near term over the next couple of quarters because they're continuing to ship aggressively while you're kind of pulling back on inventory and introducing a new model you're kind of out of season?
Jose Boisjoli: Like I said in my question before, my answer before, each dealer, each multiline dealer have a credit line by OEM then we don't an OEM the dealer cannot fulfill with other product lines our credit line. And this is a well we believe we will have despite the reduction in inventory, enough inventory not to miss retail. But also, it could happen that a month we lose some, but we gain some. But overall for the year, we still believe we will gain a few market share in the off-road business.
Brandon Rolle: Okay, great. And just finally, I think you had mentioned you're going to be introducing electric motorcycle at your dealer event in August. Could you just kind of talk about what you're seeing in the electric motorcycle market and reasoning for why you think now is a good time to kind of introduce a new model there? Thank you.
Jose Boisjoli: First, this project has started about three years ago. Then everything is done. The investment is made. But I have to admit that I had the chance to try the product myself and it's funny. In the last two days and today, there is dealers from Europe and North America that are writing the product and we get their feedback and we feel quite optimistic about our product and how it will be competitive in that new segment for us. But again, I think you cannot ignore the trend that you see in the electric products. It's slowed down over the last few years, but it's still there to stay. And we believe we have good product and we need to start somewhere. The beauty of what we have done is the power pack that we're using on the motorcycle is exactly the same power pack that we have on snowmobile. And this part of our power pack will end up in other product lines. Then you can leverage multi product line with one investment in the electric power pack. And we believe it's a long-term play, but we believe it's the right thing to do for the continuation of our business.
Brandon Rolle: Great. Thank you.
Operator: Thank you. At this time, I will turn the call to Mr. Deschenes to close the meeting.
Philippe Deschenes: Thank you, Sylvie, and thanks, everyone, for joining us this morning and for your interest in BRP. We look forward to speaking with you again for our second quarter conference call on September 6th. Thanks again, everyone, and have a good day.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again thank you for attending. And at this time we do ask that you please disconnect your lines. Have a good weekend.